David Baquero: Hello. Welcome to this presentation of Atresmedia. This year, we were going to give the presentation in Spanish, but you can also receive the translation in English. We have a simultaneous translation service. And Silvio Gonzalez, who is the VP, will give the presentation presenting the results for 2025 and a quick overview of the strategic plan update. and also the Financial Director and myself, helping with the question of the issue of the questions. Without further ado, I'd like to hand the floor to Silvio to present the results for the year.
Silvio Moreno: Good afternoon. We're going to have a quick overview of 2025. And as always, 2025 was a complicated year for the sector for macro reasons and certain sections such as automation and also because there are different competitors in streaming platforms. And this has also meant that it's been a rather complicated and challenging year. And we try to be rigorous in terms of the application of our strategy in terms of audience and the market and our products. It's been once again a very successful year. We have been leaders in audience far ahead of our competitors in the field of audiovisuals, TV and digital audiovisuals. I apologize, but we are receiving continual interruptions in the audio. We can give you the following data. In TV, we had a market share of 26.1%. And as we will see, not just in terms of global -- in overall global market share of 28.15% with the premium markets, 22.6 million monthly, which is the leading platform in this country. And in radio, it's been an excellent year with more than 3 million listeners per day, which is the best figure since 2015. And we can -- this confirms the strength of our brands. In terms of markets, -- in terms of the advertising market, it's grown at approximately 1%. And in the 2 sectors where there's been -- for example, in terms of revenue, there's been a downturn in TV of 4.4%. And in radio, it's increased by 2.6%. This has resulted in total revenues of over EUR 1 billithey're, which is slightly lower than last year. And there's been -- well, audiovisual has also fallen by 2% in total revenues and radios by plus 4%. This has given us a pro forma EBITDA. Well, as you know, we carried out an incentive redundancy plan, early redundancy plan. The EBITDA is EUR 133 million. In terms of dividends paid in 2025, EUR 146 million. And we also have to take into account the impact year-on-year. The pro forma EBITDA is EUR 146 million and a net EUR 133 million and net profit, EUR 96 million. The financial position at the end of the year gives us a good net cash position, a very high cash conversion rate of 0.9. And it's been an exceptional year in terms of dividends. We've paid EUR 146 million in dividends at a ratio of EUR 0.64 per share, which is the highest since 2017. I think that the year 2025 has been an excellent year for our shareholders. And if we take into account share revaluation, and also high profitability, the total shareholder return for 2025 was plus 26%. But now I'd like to analyze the different pillars of Spanish advertising market of Atresmedia. The total market has fallen by 4.4% in TV, and radio plus 12.6%. Outdoor has increased by 6.7%, which is above the average for the sector. And you have to remember that this is a sector which is going to complement our results. And that shows you the performance of the advertising market in the outdoor segment in the last year. And you can see that the growth is not that high, but it's been constant since 2020. As always, we try to ensure that this drop in the market doesn't have an impact on our prices. We'll look at this later on, and we compare this with digital products in our offer to our 360 offer to our clients over the year. And the figures remain fairly solid in this respect. As regards audience share by groups, we have to see that it's been an excellent year. For 5 years, we are leading audience share, increasing the gap between ourselves and our next competitor. And that's important. In reality, we compete with Mediaset because it's the only commercial competitor that's access to the publicity market, the advertising market. There you can see also the curve for TV, which is the Spanish national broadcasting company, TVE, and that continues to be an important player within the advertising market. So it's been an excellent year in terms of audience share in terms of total audience share and also the total day and also in prime time. And this all gives us an advantage with respect to our main competitor, which is Mediaset Spain. As regards to audiovisual main milestones, we can highlight the following. Again, 2025, we've been the absolute Spanish leader. Atresmedia is the first, let's say, you can see we have 4 consecutive leading in total individual and prime time audiences and contents are of significant quality. And the audience appreciates that quality. Furthermore, we've consolidated our position as a stable channel with stable channels. We're stable in the mornings with our newest channels and both during -- at bid day and also in prime time. We are practically leaders in the majority of these slots during the day, and that's allowed us to achieve stable results. And the forecast is that we will continue to achieve good results in the coming years in audience figures and also in terms of the revenues we obtained from our business. As regards Atresmedia Digital, again, it's another year in which we're leaders in these different platforms among users in AVOD and SVOD. In AVOD, we have 2.5 million users, monthly video users and 18 million registered users and more than 750,000 subscribers as of December '25 and 20 million hours of video consumed with a local platform that's able to offer quality content and achieve a large number of subscribers. As regards Atresmedia Webs, of all of the products that we develop, which is not within AtresPlayer, we have the audiovisual group with the #1 audiovisual group and the seventh overall in terms of most visited sites with 22.6 million average for -- and then also in others in the digital sphere under influence marketing H2H, which is above -- growing at above market average and Smartclip, which has had a complicated time. It's suffered a lot, but it's maintaining its position as a company, maintaining its profitability, but it's been a complicated time in digital advertising. So I think that they've achieved excellent results and good penetration in that particular segment. And we'd like to focus a little bit more on Atresmedia audiovisual content. We increased by 10% year-on-year with 750,000 subscribers. And again, we've tried to adapt the prices for all of our subscribers, which has offered a good return. That hasn't affected our audience figures too much, and the results have been pretty good. Apart from that, the platform has been very successful, thanks to strategic mix of content. Disney+, for example, it's important to value quality and Disney+ values the quality and also the market position of our platform. Another important point as part of our 360 platform, -- and something which we'd also like to focus on at the end is the agreements that we've reached, the agreements with the main streaming platforms in the country such as Prime, Movistar, et cetera. And that's another important part of our business because this also allows us, thanks to the flow of content sales to develop products of quality, more expensive products and with a very loyal audience. And also in terms of international TV, we're also the leader in -- we've got 32% of the Spanish film box office in Atres Cine or Atres Films with 14 films in distribution. And in international, well, we have 58 million households, which is plus 7.3% year-on-year. It's part of our strategic plan. Well, we continue to maintain 58 million households, and that is also a way of generating additional revenues apart from those that we achieve in other segments. And in the middle of the year, we acquired the company, Last Lap. Last Lap is an events company, which focuses fundamentally on sports and also experiential marketing. And I have to be honest that the incorporation has gone very, very well. The second half of the year was much better than the year -- previous year in the same period. And additionally, we are going to merge this with the events part of Atresmedia. So this will give rise to a company with a turnover of approximately EUR 50 million. We're talking about an average of 3 events per day, and that will make us one of the leading events companies in the Spanish market. So this market is fairly fragmented, I have to say. And I'd like to talk a little bit about Atresmedia Radio. As I said before, our radio is working very well. the audience figures, approximately 3 million listeners and that is the best data since 2021 and the best data since 2015. So that's the figure for Onda Cero is the best figure since 2015, and Access Radio has achieved the best figure since 2021. Our prime time radio programs with Carlos Alsina has achieved historic audience figures achieving more than 1.7 million listeners per day. But apart from that, I think it's also the program with most credibility and the most rigor in terms of its journalism, let's say, in the field of radio in Spain. So we're extremely happy with the results that have been achieved with that program in 2025. And as regards the revenues for the entire year, well, there you have the figures slightly lower than the figures that we achieved in 2024, EUR 1,002.3 million compared with EUR 1,017.9 million. And there you can see the breakdown. OpEx pro forma that's ex post the incentive redundancy plan is EUR 86.9 million -- EUR 868.9 million, which is plus 3.4% compared with last year. To a like-for-like comparison, then the OpEx is -- would probably have declined if it wasn't for that. And in cost terms, we are very, very committed. The pro forma EBITDA, EUR 133.3 million, which gives us a net profit on a pro forma basis of EUR 96.3 million compared with EUR 120.3 million in the previous year. The entire pro forma results, well, EUR 45 million, which corresponded to the redundancy plan, which have been provisioned accordingly, but the impact on cash flow is something that is felt during the entire period. So it doesn't reduce in any way the cash flow structure of the group and the financial structure that we have. We analyze now revenues by segment. And we can see how this EUR 1 billion has been distributed. There you can see the figures for compared with financial year 2024. And fundamentally, well, the main decrease has this been downturn of EUR 49 million in audiovisual. We are going to -- we've managed to offset this with improvements in content production and distribution of EUR 1 million and others in perimeter, EUR 29 million. That's a total of EUR 30 million. In contrast, radio has performed much better with an increase of plus EUR 3 million, increasing from EUR 83 million to EUR 86 million. Therefore, we're trying to ensure that the weakness displayed by the audiovisual sector this year is bolstered and led by the incorporation of companies that are leaders in other sectors, which will allow us to achieve greater stability. In terms of OpEx by sentence, by segment, there you can see EUR 869 million in the total group compared with EUR 840 million last year. If we consider the contributions of new perimeter companies, then OpEx by segment would be more or less flat line or possibly negative in some instances. So we continue with the idea of adjusting in cost terms with a view to maintaining our quality and our competitive quality because that is something that will allow us to generate income, revenues and based on a pricing policy that ensures that we are clearly the group that offers better prices compared with the competitors in the rest of the sector. As regards to EBITDA, well, -- the EBITDA in 2024 was EUR 178 million, which has dropped to EUR 133 million. Most of that decrease corresponds to the group's audiovisual segment for the reasons I explained before. The performance has been much worse than we expected compared in the publicity market. Some sectors have virtually disappeared such as the mobile banking sector, publicity. And that is largely due -- and also there's also not mobile phone, it's the automobile sector. And there's also a lot of uncertainty regarding the impact of electric vehicles. And we're also observing that the automobile market -- publicity market is actually increasing this year. As regards Atresmedia cash flow, well, there you have the figures there. In 2024, plus EUR 140 million, operating cash flow, EUR 126 million. And again, we've had EUR 146 million for the payment of dividends, M&A, EUR 22 million. Therefore, we end with a net financial position of plus EUR 58 million, high -- a strong financial stability. Okay. Let's move on to our strategic overview. Well, we've tried to -- you have to highlight the cost discipline that we managed to maintain and also maintaining a leading position. We've also tried to incorporate in our perimeter companies that are in sectors that have great growth capacity in the future, such as Last Lap and [ Cera ] and the companies I mentioned earlier. In terms of Atresmedia strategic overview, -- we would like to highlight 7 pillars or levers on which we have based our strategic plan. Although the strategic plan has to change and adapt to the changing environment, we believe that these are the different areas that we really have to focus on. First of all, consolidating leadership in audiovisual radio. We must be leaders in audiovisuals and radio. That's fundamental. It's essential that we continue to produce good content. Digital is core. It continues to be in the new segment because that's the only way that we can really offer a product to the market, which is of interest to our listeners and to our viewers. So that is a challenge that we consider to be essential. And we will fight to maintain our leading position. We've been leaders now for 5 years. It may seem easy. But whenever the actual -- the market changes, we have to adapt as well. And it's essential that we -- our contents and products are accepted by our users, and these are things that are often outside our control. We continue with the idea of maximizing content exploitation cycle and becoming increasingly efficient in these areas. Our aim is to ensure that leadership in audiovisual production is something that we have to extend very, very clearly throughout the whole of our perimeter. Apart from being leaders, it's essential that we have new products. And these new products will allow us to ask higher prices from our users in the market. We ended the year with a gap with respect to Mediaset of approximately 27%. So clearly, we are perhaps in the high pricing slot the gap compared with 2008. And in the case of radio, well, you have to consider the different revenues that are generated per listener in the industry. We have the highest revenues per listener in the industry. We want to continue being leaders in audience share in commercial products, and we want to maintain our premium pricing because we want to try to ensure that we can offer content that offer greater quality for -- and also are much more profitable for our advertisers. Some time again -- well, some time ago, we developed our audiovisual platform, AtresPlayer. And this is an essential element in our roster of services. We've not just incorporated traditional audiovisuals, but also our AtresPlayer platform with the AVOD and SVOD options. The idea here is to ensure that we're able to optimize our inventories and to try to get the most out of the product. We want to continue with our pricing policy review and also explore new distribution agreements and also empower our international SVOD platform or payment platform. So the idea is to explore digital as an essential element as part of the pack, which also is accompanied by special prices because, as you know, some of the low prices are not that interesting for us. We want to occupy the premium audiovisual market with prices of approximately EUR 13 or EUR 14 per, which is almost 7x more than the EUR 2.5 of traditional television. That's just for comparison purposes. We've also demonstrated that our commitment to content and the ability to actually develop all of the spheres in which we operate is a strategy that clearly yields successful results and generating revenues from every single element, no matter how small it is within that package is essential. And I think that the operation has been exceptional in the last year. In the case of Netflix, well, there was a good operation there. And we've also achieved the leading Spanish-speaking series on Netflix last year. Another example, we can also see how in each of the different segments in which we operate, this is something that we're really exploiting. So I think that we're really exploiting all of our products and trying to get the most value-added and revenues from those products. That is a strategy that we've seen has worked very well, and we have to continue developing this. We have to continue to support and reinforce that because through that strategy, we've been able to maintain stable and significant revenue. In the area of content production, we have decided that if we want to become leaders, we need to be leaders in quality and also leaders in content production. Approximately EUR 400 million each year in content production. This means that we are leaders by a long shot. And we've increased our production in Spanish producers because apart from giving good financial results, it also allows us to establish a very close relationship with the content producers. And that is something that we want to maintain as part of our strategy. We continue to be leaders in fiction and cinema. And the aim is to continue the trend that we maintained in previous years. We would like to improve production processes by incorporating AI. Many production processes are done now almost exclusively with AI. So we're incorporating AI in our, let's say, way of working. And we've always said that we believe that AI-based processes can control quality. And this is fundamental, particularly in the case of news programs and current affairs programs. We want to be responsible producers. We want to ensure that everything is controlled. We don't want to have problems for young viewers caused to -- due to errors committed on the part of our teams. We don't want to just base our production process on AI. We need the human element as well. But we always have to incorporate this vision into our production processes. What else have we done? Well, I have to mention Last Lap, as I highlighted earlier. It's been one of the most active years in the history of Atresmedia in terms of corporate operations with EUR 17 million in Last Lap, and they achieved better results than last year. In terms of the synergies with Atresmedia events, this will give us a combined revenue potential of EUR 50 million. And we believe that since they have a presence in Portugal, this has enormous opportunities for organic and inorganic growth because it's a very dispersed sector. And we believe that we can consolidate our position there. As regards to Clear Channel, the price of the agreement is EUR 115 million to acquire 100% of Clear Channel Spain. It's a strategic operation in the outdoor advertising segment. We are in the process of achieve -- we're awaiting approval by the CNMC. It's expected in the first quarter of 2026, but this is something that we don't control. So we expect that by the end of the first semester of this year or if not the first quarter of this year, then we should receive approval from the CNMC. We have high hopes with this acquisition. We believe it's a digital component that will give us a greater variety and possibility to digitalize other areas, and this will generate more value. And apart from offering a higher quality offer, it's something that we have great hopes for. And as always, we are really focused on improving our efficiency. We've developed this voluntary redundancy plan. And also, we've also tried to work on a restructuring process and action plan for rapid implementation. And the aim of this plan, it's 136 people that will be affected by this voluntary redundancy plan. And it's part of this objective of becoming more efficient. And I think that the corporate climate in Atresmedia is enviable for many of our competitors. And we aim to improve all of our internal and commercial processes to become more efficient and more cost efficient as well. So in the area -- again, we want to incorporate AI in our commercial processes, but it's also important to highlight that year after year, our commercial area is one of the most innovative commercial areas and which is capable of offering more innovative products. This year has been key. And it's one of the reasons why we are key players in our premium segment. And we hope to generate better returns, and that will continue to be the case. And every year, well, that area has done their job very, very well, and it will continue to do so. So we expect that we will see in 2026 continuing in this process of corporate efficiency as a priority. Yes. And to summarize the year, I think it's important to highlight our efforts to maximize shareholder returns with a total shareholder return of 26% dividends paid of EUR 146 million with a dividend yield of 13%. It's an estimated operating cash flow ratio with respect to EBITDA of 0.9. And in M&A, we would like to explore markets which we believe can actually add something of value to our group. And these are part of the targets that we have set. and which will fundamentally support the audiovisual area. So it's been a complicated year from the market perspective, but we performed relatively well. And for shareholders, it's probably been the best year in the history of Atresmedia. What do we expect for 2026? Well, we expect a difficult year, a difficult year. It's clear that the geopolitical and economic uncertainty and shocks don't cease, they continue. So it seems as if we're always living on knife's edge. Because of what's happening in the States, the markets are going up and down. Nobody ever knows what's going to happen with Iran, for example. So the macroeconomic situation is rather complex, rather complicated. As regards Atresmedia, we expect following the poor performance of the audiovisual advertising market last year and largely due to the uncertainty. Part of this may have been resolved, but we're not sure if any other additional uncertainties will occur. We expect the audiovisual market to more or less be flat. The radio segment will increase slightly at approximately 2%, 3% growth is what we estimate. But in outdoor, we really believe that we will achieve midrange growth, much in line with this year, like 5% or 6%. Therefore, total revenue for Atresmedia will be more or less stable at constant perimeter. And we would have to add the revenues generated by -- Last Lap in the first half of the year because we integrated Last Lap last year and also Clear Channel. We expect an EBITDA margin of somewhere in the region of 15%. And we also expect to end the year provided we -- these forecasts are fulfilled with a net financial position of minus EUR 25 million because you have to take into account that we've included the payment of dividends, the payment for the acquisition of Clear Channel and also we're pending a cash-in in the region of EUR 45 million from the tax authorities following the decision of the Supreme Court, which certain rulings that were issued before against us. So we hope that, that is something that will be concluded in the first semester of the year. The Board at its meeting yesterday, and this was supported by the general shareholder meeting, a complementary dividend of EUR 47 million, EUR 0.21 per share, which is the same amount that was -- or the same ratio as in the interim dividend. And so -- we have the feeling that there's a great deal of uncertainty in the market. We have to maintain our clear strategy, a strategy that is reasonable, but is also yielding results. We consider that it's important to maintain market prices. And to do so, we have to be creative and innovative, offering new products in the audiovisual digital sector. And we are optimistic because we believe that the contribution of the companies that we've onboarded in our perimeter will be very significant for our group. So that is how we see the year 2026. Thank you.
David Baquero: Thank you. We now have a Q&A session, and we would like -- we would be delighted to answer any questions that you may have.
Operator: [Operator Instructions] And the first question is from [indiscernible] from Bestinver Securities.
Unknown Analyst: I have 3 questions regarding audiovisuals and one about Clear Channel. As regards audiovisual, the first question is last year, we saw a significant deterioration in the relative performance of TV compared with other platforms or media. I would like to know beyond the trends that you've highlighted in the sector, I would like to know what you consider the reason for this deceleration in the relative performance of TV is. Do you believe it's due to, on the one hand, the increase in audience of TVE, which has been promoted by strong public spending. And I know that you don't compete there in publicity, but you do an audience share? Or do you believe it's due to the eruption or the sudden appearance of many of these strong streaming platforms? What are the reasons do you consider for this different performance compared with other media? And secondly, a clarification because it's possible that I didn't read the slides properly. But in the presentation, you referred to publicity performance that's flatlined in audiovisuals, but the results that you presented indicate that you expect that audiovisual investment will improve with respect to last year. So I just would like to understand if you're referring exclusively to television or if it includes TV and digital. It's just to obtain a better clarification about what that concept includes and a better explanation about that flatline growth and the type of performance that you're beginning to see this year in the different segments. And the final question regarding Clear Channel. The question is if the delays in the decision of the CNMC is causing any impediments in this process. And with the integration of this company, what would be your management priorities in the short term? Pricing? Or what do you consider to be the main objectives there? And I apologize for the long questions as a gentleman.
Unknown Executive: Thank you. I'll begin with the final question, Clear Channel. Well, Clear Channel surprised us a lot because we thought that it was going to be an operation that wouldn't have arouse too much doubt in the minds of the CNMC. In fact, it's also a interest in the market. We didn't expect this lead to such an in-depth analysis and these delays as is occurring. We haven't received any latest information from the CNMC regarding the process. So we've got no idea what the result will be. And whether it's an operation that they will approve without any further queries or whether we'll have to do anything more. And why is it good for the company? Well, the company has got a problem. I'm not sure if you know. All Clear Channel operations in Europe, I think it's only Spain remains. And there's also been a purchase by the parent company in the United States. We apologize, but the quality of the audio is extremely poor from the main room. And I think that they're also considering the impact this will have on their shareholders. So the situation is not good for Clear Channel either. I believe that Clear Channel as well as the majority of outdoor platforms or media have a certain process of digitalization to undergo. We have to consider the role of digital media, and we consider the contribution will be significant because at the end of the day, that's also a way of generating audiovisual products that many people can see on digital platforms. So we believe that the future is very positive. And what do we consider to be the reasons for the decrease or the decline in the audiovisual market? Well, in part, it's due to the situation of uncertainty in many sectors. So they are holding back on their investments. And for example, one example is the automobile sector. And this is important in terms of volume and price. Our revenues comprise 2 main pillars, the subscribers who acquire premium products at premium prices. And at the end of the day, we've observed that -- there's been little change in some segments, but there's been an overweighting of household spending compared with added value. And this has led to a decrease in the value of the market. Again, we apologize, but the audio from the main room is extremely poor, and it's very difficult to translate. As I said, such as the automobile sector, this year, we hope that there will be a significant improvement. But that's one of the reasons why the market fell last year. Competition has hurt us because it was the first full year of streaming platforms. And and also the cultural sponsorship -- the sponsorship of cultural programs by TVE, which is the Spanish national broadcasting company has also hurt us. It's important to maintain strict cost control. We're able to produce quality products being efficient and highly dynamic and efficient in costs. As regards to the other question that you had regarding whether the market had flatlined, we were performing more or less the same as we did before. We expect our performance to be very similar to last year, as I explained in the strategic overview. So when we talk about an improvement of the market, we expect it to improve with respect to last year. In the first 2 months of the year, in January and February this year, the performance has been negative, but better than we expected because as I said, we've managed to recover in certain areas. And we'll have to see exactly how the year evolves. But at the moment, we are actually better than we initially expected. And we'll have to see how the year evolves. And I think that I've answered all the questions there.
Operator: The next question comes from Fernando Cordero, Banco Santander.
Fernando Cordero: The first question concerns the comment that you made. about the importance of audience share leadership and also with respect to your main competitor in 2025, that audience leadership, when we also look at the evolution of the public television channel, it's the question about the difference in market share. I would like to know what the difference is due to and whether you believe that it's something that the market will end up reflecting. Do you believe that that's a relative performance on your part? And secondly, as regards your diversification policy, with Last Lap and Clear Channels in corporations, where do you think that you would have to grow in the medium and long term?
Unknown Executive: As regards to audience share leadership, it's important to remember that our main focus is on leading audience with respect to Mediaset, which is our commercial competitor, although we would like to be the global leaders, which we are, but we would always like to try to be the audience share leaders with respect to our main competitor, not the public channel. If you were to -- although there's been a decrease in market share, if you look at the evolution of market share or audience share, there's been a certain degree of flexibility evident. -- the market share that we obtained between both of us is very high. In the first 2 months of this year, based on the data we have, we are actually improving our share. We have seen that there is a certain degree of structural stability in audience shares in the market between Mediaset and ourselves. In terms of diversification, well, everything related to publicity, the advertising market and all of the variables you have to consider, whether it's marketing, new media or platforms or highly digitalized platforms or media. You have to remember that we are actually working very strongly on the digital segment of the market, which is one of our main lines of action. And in the area of content, we believe that it makes sense to commit to that area significantly. But these will continue to be minority participations in, let's say, a producers. Perhaps economically speaking, they may not be performing as well compared with the in-house production, let's say. So we're analyzing different opportunities. executive opportunities, and we're also looking at opportunities for new markets where the prices are attractive. and where the markets are mature. And we're focusing on that at the moment. But at present, we don't have any operations in the pipeline, any other operations in the pipeline. We will have to see how Last Lap evolves and also Clear Channel once that agreement has been confirmed because these have been the 2 most important acquisitions that we have made since the creation of the company. And then we have to consider the net financial position of EUR 25 million -- minus EUR 25 million. We have to consider our participation in cyber and what could happen with cyber between now and the future because the value there is important.
Fernando Cordero: Just one follow-up question regarding the first reflection regarding audience leadership. And I'm very grateful for your comments that you've seen that the market is -- has a structural distribution. Given that scenario, how would you reflect on reflecting that market situation where cost evolution is less flexible and extrapolate that to your investment in content for Open TV?
Unknown Executive: I would say that the audiovisual market which is related to more traditional TV is where things are more stable, where there's an important difference in share is in digital with respect to our main competitor. I have to say that the digital market is still developing, still evolving. So we've got still quite a lot to discover. In terms of our aim to maintain leadership at other times in the life of the company, we've always focused on trying to maintain that leadership. And this also allows us to maintain a premium pricing, which is very important for the company. It's true that there's not much flexibility in the audience share, but there has been some variation. And we've noticed that we have increased our market share, our audience share with respect to our nearest competitor. But given the wide range of products and offer, it's not easy to achieve changes in audience share. We don't expect major improvements in revenues. I'm referring to old style TV. But in terms of our capacity, let's say, our vision for the universe by that, I refer to all of the different segments, whether it's AVOD, SVOD, content production, et cetera, that is where we can achieve better revenues. In short, it's true that traditional audiovisuals is in the period of maturity. And we believe that content production in the digital universes where we can achieve better results and better revenues. The work we've done there has been very good, but we still think there's still a lot to be done. And Fernando, let me just add one more thing. It's true that the audience shares or the audience share figures have been very similar with respect to last year. And -- but I think that a difference of 2% in audience share compared to the nearest competitor is quite a lot. It's approximately EUR 30 million or EUR 15 million, the gentleman corrects himself. So that has a big impact on results. that percentage difference in audience share is not so important, but rather the value of the content that allow us to be leaders in all of our different windows or slots. I don't think we could separate from our traditional TV lines. We couldn't separate that differential product compared with television, which may be 10x better if we didn't have those types of contents with those -- with the audience.
Operator: [Operator Instructions] And the next question comes from Inigo Egusquiza from Kepler.
Íñigo Egusquiza: I have 3 questions, very quick questions. Firstly, Silvio, a follow-up on something that you mentioned regarding publicity in January and February on television this year. If you could quantify a little more from things that I've discussed with other people in the sector. I understand that January and February, there hadn't been as significant decreases in October and November, but there had been increases in publicity indeed. I'd like to have -- ask if you could give me a little bit more detail about those figures. And secondly, the OpEx figure for 2025, you mentioned various times that if we were to exclude the new companies that have been integrated in the perimeter, it would have [ outlined ]. Could you explain that OpEx figure a little more? Because from the figures that I have in mind, -- Last Lap had a higher OpEx, but I think that you've only consolidated H2H. So I'm a little surprised that, that increase in OpEx in 2025. Could you clarify those figures a little more? And the third question is more about the guidance that you've given for 2026. You referred to the EBITDA margin and returning to 15%. In 2025, I think it was in the region of 13%. Could you explain a little given your revenue plan, I understand that this has been due to improvements in your OpEx figures. Could you explain the impacts and also explain the savings in the voluntary redundancy plan, which I understand is going to be rolled out gradually, but perhaps you could specify and give us more details about those figures.
Unknown Executive: As regards to your comments about flatline OpEx, it's important to remember that Last Lap -- the acquisition of Last Lap took place at the end of last year. And that means that if you were to exclude the OpEx of Last Lap and a company that we incorporated called the equality or something, this would mean that the OpEx growth like-to-like would be approximately 7%. That's the explanation regarding OpEx. Secondly, as regards to the period of January to February, the publicity or the advertising market is seeing a decrease of approximately 5%. In our annual plan, we expected that to be greater. So we're more or less in line with what was actually forecast. But that was the performance in January and February. And the final question, the third question was, well, our challenge there is to be more efficient. We would like to reduce costs in relation to each of our products. That's a challenge. And obviously, when you start to embark on new areas of business, it's difficult to obtain higher margins. In the case of Clear Channel, the margin was 18%, and it could probably increase. So we're now thinking about the effect that this could have for Atresmedia. That's the idea there.
Operator: There are no more questions at this moment in time. So I would like to hand the floor to the speakers.
David Baquero: I would like to thank everyone for your questions. If you have any doubts or questions following this presentation, we will be delighted to answer. Thank you very much for your attention, for your participation, and we wish you all a very good afternoon. [Statements in English on this transcript were spoken by an interpreter present on the live call.]